Operator: Good morning. My name is Chris, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the National Resource Partners LP Fourth Quarter 2021 Earnings Call. [Operator Instructions] As a reminder, this conference call is being recorded. Thank you, Tiffany Sammis, Manager of Investor Relations. You may begin.
Tiffany Sammis: Thank you. Good morning, and welcome to the Natural Resource Partners fourth quarter 2021 conference call. Today's call is being webcast, and a replay will be available on our website. Joining me today are Craig Nunez, President and Chief Operating Officer; Chris Zolas, Chief Financial Officer; and Kevin Craig, Executive Vice President. Some of our comments today may include forward-looking statements reflecting NRP's views about future events. These matters involve risks and uncertainties that could cause our actual results to materially differ from our forward-looking statements. These risks are discussed in NRP's Form 10-K and other Securities and Exchange Commission filings. We undertake no obligation to revise or update publicly any forward-looking statements for any reason. Our comments today also include non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP measures are included in our fourth quarter press release, which can be found on our website. I would like to remind everyone that we do not intend to discuss the operations or outlook for any particular coal lessee or detailed market fundamentals. In addition, I refer you to general resources public disclosures and commentary for specific questions regarding our Soda Ash business segment. Now I would like to turn the call over to Craig Nunez, our President and Chief Operating Officer.
Craig Nunez: Thank you, Tiffany. Good morning, all. I am pleased to report that strong demand for metallurgical coal, thermal coal and soda ash in the fourth quarter of 2021, produced one of the best quarters in terms of free cash flow in the partnership's history. While COVID-19 remains a risk factor for the global economy, we expect to generate robust free cash flow in the months ahead and plan to continue using that cash to pay down debt, solidify our capital structure and pay common unit distributions. The fourth quarter also witnessed the closing of our first carbon sequestration transaction, for which, we received approximately $14 million in exchange for agreeing to sequester roughly 1 million metric tons of carbon dioxide or CO2 in our West Virginia forest land. We followed that with a second sequestration transaction announced earlier this quarter, which involves the underground storage of CO2. We granted Denbury the right to develop a sequestration project on approximately 75,000 acres of subsurface forest space, we control in Southwest at Alabama, which Denbury believes has the potential to be a world-class storage facility with over 300 million metric tons of capacity. We expect this project, if developed, to be the first of what will potentially be numerous subsurface sequestration projects conducted on the approximately 3.5 million acres, where we own the rights to sequester CO2 across the United States. In addition to CO2 sequestration, we continue working to identify opportunities on our large acreage footprint to realize value from the generation of electricity using geothermal, solar and wind energy. As with our CO2 sequestration activities and consistent with our royalty business model, we anticipate little to no capital investment will be required of NRP related to these opportunities. While it's difficult to predict the timing and likelihood of cash flows from these activities, we believe they have the potential to provide benefits to the environment, add value to NRP and position the partnership to benefit from the transitional energy economy. Over the last 12 months, we generated $123 million of free cash flow and paid off $39 million of debt. We expect our free cash flow to remain strong in the coming months. Our cash flow cushion, which is the free cash flow remaining after paying our private placement debt amortizations and distributions on our common and preferred units, has increased dramatically from pandemic lows, and we expect it to continue to rise in the months ahead. The partnership continues to maintain robust liquidity and ended the quarter with $136 million of cash and $100 million of unused borrowing capacity. Metallurgical coal prices are strong as robust demand for steel continues to more than offset lingering pandemic-related challenges. Global met index prices have risen to record highs in recent months. And we believe most of our met coal lessees have taken advantage of these favorable market conditions to negotiate higher sales prices for 2022 that existed in their expiring 2021 contracts. As a result, we anticipate benefiting from higher met royalty revenues in coming months. The ongoing China, Australia political and trade dispute that began in 2020 continues to benefit U.S. met producers as Chinese manufacturers procure met coal from other regions, allowing North American coal to make its way to destinations previously served by Australian producers. While we have no way to predict the timing or eventual outcome of this matter, we have yet to see meaningful signs of resolution in the near term. Thermal coal prices also remained strong. Post pandemic, economic growth has driven increased electricity demand with additional support provided by the recent spike in energy prices associated with the war in Ukraine. Realized benefits for NRP from higher thermal prices have been modest so far. Since most of our thermal cash flows in 2021, we're fixed pursuant to our contract with Foresight Energy that went into effect as they emerged from bankruptcy in 2020. That fixed payment agreement terminated at the end of 2021, and we are now receiving traditional royalty payments. We expect to benefit from higher thermal coal royalty cash flows to the extent demand and prices for thermal coal remains strong. Turning to soda ash. In December, a publicly traded Turkish conglomerate names Sisecam, acquired a majority stake in the managing partner of our Wyoming Soda Ash business, which is now known as Sisecam Wyoming. Sisecam brings extensive experience to our soda ash venture given its soda ash operations in Turkey and Europe and glass manufacturing around the world. We are looking forward to working with Sisecam to build on the significant value realized by our partnership with the Ciner Group, which continues to own a minority stake in Sisecam Wyoming. Global soda ash demand has been strong in recent months, led by robust residential construction, general industrial activity and accelerating demand for solar power and energy storage. At the same time, global soda ash supply has been constrained, with China production operating below capacity and European synthetic soda ash producers voluntarily curtailing production due to high energy costs. Our Soda Ash segment posted strong results in the fourth quarter, driven primarily by higher export prices and a softening in ocean freight rates from the peak reached in October. Sisecam Wyoming has been experiencing input cost inflation, but management has been successful at passing increased cost to customers. As a result, Sisecam Wyoming increased the quarterly distribution paid to us in February to $13 million, up from the $7 million received in the fourth quarter of 2021. We continue to believe we have the right strategy in place to create unitholder value. In 2015, when we began to delever and derisk the partnership, the NRP has paid down nearly $950 million of debt, paid over $135 million of common unitholder distributions, established robust liquidity and dramatically improved our capital structure. The fourth quarter of 2021 was one of the best quarters in the partnership history with respect to free cash flow generations, and those results were achieved with a fraction of the capital deployed in previous years. We remain steadfast in our commitment to focus on maximizing unitholder value by continuing these efforts. And with that, I will turn the call over to Chris to cover our financial results.
Christopher Zolas: Thank you, Craig, and good morning, everyone. During the fourth quarter, we generated $55 million of operating cash flow and $56 million of net income. Moving to our business segment results. I'd like to begin by noting that we have renamed our coal royalty and other segment to Mineral Rights. To better reflect our extensive portfolio of mineral ownership across the United States as well as our focus on leveraging our asset footprint to participate in the transitional energy economy, as Craig discussed earlier. There have been no change to the assets that make up this business segment, only a change to the name. During the fourth quarter of 2021, our Mineral Rights segment generated $68 million of operating cash flow and $60 million of net income. Fourth quarter 2021 segment free cash flow net income improved $34 million and $38 million, respectively, compared to the prior year quarter primarily as a result of stronger demand and pricing from metallurgical coal and our forest carbon sequestration transaction. Metallurgical coal made up approximately 55% of our total coal royalty sales volumes and approximately 75% of our coal royalty revenue during the fourth quarter of 2021. Moving to our Soda Ash business segment. Net income in the fourth quarter of 2021 improved $5 million as compared to the previous year quarter, primarily due to increased demand for soda ash from the lows caused by the COVID-19 pandemic. Free cash flow in the fourth quarter of 2021 improved $7 million as compared to the prior year quarter as a result of Sisecam Wyoming's decision to reinstate the regularly quarterly -- the regular quarterly distribution in November of 2021. Our Corporate and Financing segment costs increased $2 million in the fourth quarter of 2021 as compared to the prior year quarter primarily due to an increase in incentive compensation as a result of the significantly improved operating results in 2021. Free cash flow was relatively flat in the fourth quarter of 2021 as compared to the prior year quarter. Regarding distributions. In November of 2021, we paid a quarterly $0.45 per common unit distribution and a quarterly distribution of $8 million to our preferred unitholders, one half of which was in cash and one half in kind as was required by our bond indenture due to our leverage ratio being above 3.75x at the end of the third quarter of 2021. However, as our Mineral Rights and Soda Ash segment's business performance improved in the fourth quarter of 2021, our leverage ratio dropped well below this 3.75x threshold and ended the year at 2.7x. As a result, in February of this year, we fully redeemed all outstanding paid-in-kind preferred units at par and announced and paid cash distributions that included $0.45 per common unit and $7.5 million to our preferred unitholders. And I'd just like to close by noting that our leverage ratio significantly improved during 2021 from 4.6x at the beginning of the year down to 2.7x at year-end, and we expect our leverage ratio to continue to decline as we continue to pay down our debt. And with that, I'll turn the call back over to the operator for questions.
Operator:
Craig Nunez: Thank you, and thank you, everyone, for participating in our call today, and thank you for your continued support of NRP. Have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call and webcast. Thank you for participating. You may now disconnect.